Operator: Good day, ladies and gentlemen and welcome to the Q1 2017 Ameresco Inc., Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today's conference, Gary Dvorchak. You may begin.
Gary Dvorchak: Thank you, Glenda, and good morning everyone. We appreciate you joining us for Ameresco's first quarter 2017 earnings conference call. On today’s call are George Sakellaris, Ameresco's Chairman, President and Chief Executive Officer, and John Granara, the Company's Chief Financial Officer. George and John will review the operating and financial highlights of the first quarter and then we will take questions from the audience. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. The call contains forward looking information regarding future events and the future financial performance of the Company. Cautions you that such statements are just predictions and actual results may differ materially as a result of risks and uncertainties that pertain to our business. We refer you to the Company's press release issued this morning and your SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the Company's projections or forward-looking statements. And assume no obligation to revise any forward-looking statements made on today's call. In addition, we will be referring to non-GAAP financial measures during the call. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release as well as in our prepared remarks. I will now turn the call over to George Sakellaris. George?
George Sakellaris: Thank you, Gary, and good morning, everyone. This year is off to a good start. Both revenue and earnings were solid, and in fact above our internal plan. Most importantly, we achieved record backlog of $1.6 billion. The total backlog was up 18%, and contracted backlog was up 40% to over $0.5 billion. We also continue to build our portfolio of energy-producing assets, which will drive the growth of recurring revenue. Those assets under development were up 19% to $207 million. In all, we believe we are on track to deliver on the expectations for the year that we set forth a few weeks ago. These results highlight important growth drivers of our business. The larger projects we are winning now can support accelerating growth. We are seeing more opportunities in other types of projects beyond our basic energy-focused retrofits of buildings. And we are securing more business from repeat customers. Those factors, among others, should result in good growth for the foreseeable future. They also greatly improve our visibility. Our record backlog, growing pipeline, and substantial recurring revenue streams all reinforce the attractiveness of our business model. A major highlight of the quarter was our winning the Chicago Smart Lighting project. The City Council approved funding for this project a couple weeks ago, and we expect to receive the notice to proceed soon. This project embodies each of the growth drivers I just discussed. This is a large project. In fact, it is the largest municipally-owned street lighting overhaul in the U.S. The total contract value is $150 million over four years. Ameresco will replace 85% of Chicago’s public street lights with reliable and high-quality LED lighting fixtures. In total, we will address 270,000 light fixtures, as well as installing an intelligent lighting management and control system. The network control system will enable the precise operation and monitoring of each streetlight. It can also serve as a platform for other smart city applications. The city gets multiple benefits from this project. The new lights will consume 50% to 75% percent less electricity than existing high pressure sodium lights. This will reduce operating and maintenance expense, thus generating significant cost savings that will be used to fund the project. The lighting management system will enable remote, monitoring and control, and will allow the City to respond proactively to service requests by providing real-time updates when outages occur. And this project will create jobs for companies and residents of Chicago, including women and minority-owned businesses. The Chicago Smart Lighting Project is a great example of new types of opportunities we are winning. Historically, our business focused primarily on buildings and campuses. However, aging infrastructure is not limited to just buildings. The streetlight retrofit market began to develop a couple of years ago, and we won some good, early project opportunities in Arizona, the State of Washington, and in Canada. Those wins were based on Ameresco’s LED expertise and our ability to design complex and economically compelling projects. We were able to leverage that growing technical expertise, financing capabilities, and our track record of delivering as promised with high quality. This gives additional comfort to our repeat customers that our proposed work will be executed on time and on budget. Because the Chicago project is so large and visible, our successful execution could drive similar opportunities in many communities nationwide. We believe we will be highly competitive in similar bids. Our strength in integrating complex technologies enables us to handle the sophisticated networking software required in these projects. We also can utilize our expertise in ESPCs and other funding mechanisms to offer these projects to communities in a budget-neutral manner. Another large project that we can now discuss is the New York City Housing Authority, or NYCHA. On April 6, NYCHA announced the commencement of work on the first phase of their Energy Performance Contract covering 16 public housing developments in Manhattan, Brooklyn and the Bronx. We are very pleased to continue our relationship with NYCHA. We will manage this $56 million phase of the project, which includes lighting, low-flow water fixtures and heating upgrades covering 20,000 apartments. Our work on this phase of the project is expected to reduce annual costs by more than $3.5 million, and will benefit more than 45,000 public housing residents. This first phase will also provide employment opportunities for NYCHA residents as well as local businesses, thereby contributing to construction jobs in the community. NYCHA is another very large and challenging project for Ameresco, similar to many of the sizeable projects we are now bidding on regularly. The size is driven not only by the sheer scale of NYCHA’s properties, but also by the comprehensive nature of the project. To date, Ameresco's public housing energy specialists have implemented performance contracts with project capital exceeding $500 million. Not many energy service providers have the level of expertise, internal design experience and engineering capabilities that enable us to handle public housing projects of this size. The NYCHA project also illustrates the visibility built into our business. The $56 million of the first phase has been in our contracted backlog for some time, and will convert to revenue as the project is implemented. Furthermore, additional work in NYCHA’s second phase is already in our awarded backlog, at around $100 million. Since most public housing authorities also face aging infrastructure, steep budget cuts and deferred capital needs, we expect to continue to serve the broad public housing market for some time to come. I now want to address a significant and positive development by the new administration on federal ESPCs. Last week, the U.S. Department of Energy announced a widely-anticipated new $55 billion IDIQ contract. IDIQ stands for Indefinite Delivery Indefinite Quantity. IDIQs are the main contracting vehicle for federal agencies to award individual projects. Ameresco is one of the 21 companies that were awarded the new contract, which will allow us to develop ESPC contracts through at least 2022. In the DOE press release announcing the award, Secretary of Energy Rick Perry said that he hopes, and I quote “all federal agencies will utilize this financing method to the fullest extent.” And the quote continues: “this program highlights how public and private partnerships can align with Administration’s objectives for increased energy efficiency.” We are very encouraged by this award and the associated support. It indicates that the Federal government recognizes that positive impact ESPCs can have on budgets through privately financed energy and water infrastructure improvements in federal facilities. Beyond that specific award, we are seeing no change in our day-to-day activity. The pace of agency meetings is steady, and Department of Defense ESPC programs are coming as expected. We have received more than a dozen new “notice of opportunities” since Election Day. In general, the demand drivers in Federal are still there, as well as continued Congressional support. Based on all this, we do not expect this market to see any material change in the quarters ahead. With that, now I will turn the call over to John for comments on our financial performance. John?
John Granara: Thank you, George, and good morning everyone. Our press release and prepared remarks contain all the figures and comparisons you need. So I am not going to repeat all the numbers. Instead, we are going to focus on the analysis of the factors that influenced results. Do keep in mind that we are referring to Q1 figures unless I say otherwise, and all comparisons are year-over-year. Revenue was essentially flat, which was better than our internal expectations. Project revenue was up slightly, due to the accelerated timing of certain projects. O&M revenue was down due to the impact of a contract amendment that occurred last year. The amendment caused a one-time bump of $1.1 million in Q1 of 2016 revenue, and also reduced the going-forward revenue run rate. Outside of this contract amendment, O&M was basically flat. We still expect O&M revenue to be up for the full-year. Finally, energy sales were up due to the contribution from assets placed in service last year, as well as some sales of renewable energy attributes. When analyzing our revenues, keep in mind that Q1 last year included $7 million of revenue related to the non-core SRO project in Canada. We completed that project in this quarter, generating about $0.5 million in revenue and enabling our team there to focus on more profitable opportunities. Gross margin was lower than last year. However, last year’s gross margin was higher than usual due to the O&M contract amendment I just mentioned. Without that, gross margin was about the same as last year. Operating expenses were up mainly because we are investing more in growth initiatives. We are spending more to accelerate the growth of our project pipeline and our operating asset portfolio. We believe that our awarded backlog in particular shows that this investment is paying off. We also track RFP and bidding activity, and it is growing as well. In making comparisons, keep in mind that OpEx last year included $1 million of other charges. Net income and Adjusted EBITDA were down for a couple of reasons. The decline was primarily due to the O&M amendment impact I just discussed, as well as the increased operating expenses. These results fit with the normal seasonal pattern we expect in our business, and it does not change our outlook for the year. Turning to the balance sheet, let’s look at the sequential change. We ended the quarter in a strong financial position. Cash was higher due to effective working capital management. We brought receivables down substantially, using much of those proceeds to reduce payables. We continued to invest in operating assets as well. The balance sheet changes not funded by working capital efficiency were financed by the line of credit and permanent project financing. A key item on the left side of the balance sheet is our energy-producing assets, which of course are critical to growing our recurring revenue streams. We have 172 megawatt equivalents of assets operating now. Those are landfill gas, biogas and solar. We have another 95 megawatts under development, with a little over half of that already under construction. The assets in operation are carried at $243 million, while $97 million is under construction. We repurchased approximately 388,000 shares of common stock for about $2 million. We have $6.6 million still authorized under this program. As George discussed, our visibility continues to improve. Project backlog reached an all-time high, driven by gains in new awards and new contracts. Awarded backlog was driven by the City of Chicago streetlight project. Overall, our project backlog, O&M book of business, and asset portfolio continue to be healthy and well-balanced across market segments, customers, and geographies. Let’s conclude with guidance. The numbers we offered a few weeks ago remain unchanged. Q1 results were within a normal range of variation on both the top and bottom lines, a good start to the year, and we see no reason for a change to our published guidance. As a reminder, we expect 2017 consolidated revenue to be in the range of $665 to $700 million. We expect EPS in the range of $0.37 to $0.43, and adjusted EBITDA in the range of $60 million to $65 million. Now, we would like to open the line for your questions. I will turn the call back over to our coordinator, Gwenda, to run the Q&A session.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of John Quealy from Canaccord Genuity. Your line is now open.
Unidentified Analyst: Hey, guys. Good morning. This is Jason on for John.
George Sakellaris: Hi, good morning.
Unidentified Analyst: Good morning. So first the Chicago Smart Lighting project sounds pretty great. Just curious how far you think we are into the Smart City Lighting penetration and how much more business there is to be done across the country?
George Sakellaris: The amount of business that could be done across the country is very large. I don't know if you could see some of the estimates out there that as much as $0.5 billion to $1 billion opportunity per year starting in the next year or so, up till now about $1.7 billion that has been done. And we have done a very, very good share of that and I'm trying to find the exact numbers in here. I give you a perspective, we have done so far about 73,000 streetlights in about 20 projects and we have at least twice that much under construction right now and about four times that in awards and that included of course the City of Chicago and we’re working in several others as well. And some of the stories that we see out in the marketplace right now they say in 2014 only 1.7 million streetlights were sold in LED, by 2022 it's expected that 30 million a year will be converted to LEDs. So you can see that the forecast, the total where they call total addressable market is very large. And we have established our - pretty good position in the marketplace right now. I would say, we're getting a very good chunk of the market share and not only in the United States, but in Canada as well. So it's a good opportunity and especially when you couple that with what we call the smart controls and the sophisticated software that goes associated with network in other particular streetlights. Because we offer – the series - a smart technology that they can use it to do many, many other things including security, better lighting on the particular streets, but as well as operational maintenance. Now they know exactly when a particular light is out so they can service that much, much better.
Unidentified Analyst: Right. Okay…
George Sakellaris: So the market is pretty large.
Unidentified Analyst: It’s sound good. And then maybe an update on solar trends, the exposure you have there or risks you see in the market?
John Granara: So I think from a solar perspective all of the assets that we or I should say the assets we’re developing we’re expecting a good portion of those to be in service this year. We are just as a reminder about a year behind with putting those assets in service as a result of the delays in the Massachusetts market, but I should highlight that we are developing large projects outside of the Massachusetts market as well in addition to Massachusetts, we're developing projects in Connecticut, New Jersey, we've done proposal in biding activity in the State of Florida. So we are starting to see more activity outside of Massachusetts in general. And then of course we're working with customers on the West Coast as well, particularly in California we've talked about a large installation there and so we see – we continue to see opportunities in that market as well. So no slowdowns as of yet and we don't anticipate any with regards to our core businesses while we are integrating solar within the energy savings performance contract as well. So I think we haven't seen any impact.
Unidentified Analyst: Okay. Thanks guys.
Operator: Thank you. And our next question comes from the line of Noah Kaye from Oppenheimer & Co. Your line is now open.
Noah Kaye: Thanks. Good morning, George and John. How are you?
George Sakellaris: Good.
John Granara: Thank you.
Noah Kaye: Good. So just in terms of the numbers to start out with, it looks to me – if I'm looking at this right, basically what we're seeing with 1Q versus the full-year guidance is kind of more of a return to a normalized earnings pattern and you basically had a bit of earnings inflation in 1Q of last year because of that O&M contract. Is that kind of the right way to think about it because when I look at past years EBITDA and earnings contribution it's always been much more back half weighted than 2016 was?
John Granara: That's correct. In Q1 - last year was more of an anomaly from that regard, Q1 is typically a quarter where we're actually in a net loss position and we returned to that. We did talk about the amendment that we had last year and because it did occur in our lowest revenue producing quarter which is our normal seasonal pattern, it had a more material impact in that particular quarter. The amendment in it by itself for the full-year doesn't and that's why we'll often stress or emphasize that the quarter year-over-year results or comparisons are not always the most meaningful. We will look over on an annual or trailing 12 months basis. So I would not draw any conclusions with regards to the year-over-year earnings for Q1 of last year to this year.
Noah Kaye: Great. Okay. That’s helpful. Thank you. And then first of all congratulations on being selected as part of the new IDIQ for the DOE, understand that the existing 2008 win has a couple more years left on the authorization, so it seems like there should be some good program continuity and overlaps there. I did want to dig into your comments just a little bit. You talked about seeing more than a dozen new opportunities – project opportunities, has that been fairly metered, fairly ratable, in other words has that kind of flow continued over the last quarter or so say, because obviously it does take some time to see a change over in personnel for the administration. So has there been any slowdown in recent months or is it kind of continued?
George Sakellaris: That's why I wanted to add little bit more color to that fact that the day-to-day activity whether it’s meetings or new RFPs, what they call [indiscernible] new awards that it’s constant. Actually we see more agencies coming out like the Navy and the Air Force. In the Army there is more RFPs that we have seen in the past. So I would say it has continued at a very attractive pace.
Noah Kaye: So that dozen is actually a fairly significant number versus past year is if you can kind of give us some order of where that stacks relative to past years?
George Sakellaris: Yes. Noah it's similar. I would say similar and maybe a little bit up rather than down.
Noah Kaye: Because I mean you've had very strong growth in federal particularly in the last few years, I think certainly that the comps will start to get tougher, but it does seem like it would be much broader opportunity in and around the country, municipal, utility kind of what is always sort of been the bread and butter that still has a long way to go. And so I guess turning to that part of the business, just wanted to understand if you are seeing kind of any significant change in the business environment for mush and/or C&I. We've seen C-PACE funding levels start to grow interest rates haven't come up too much. Just can you talk about kind of the overall contracting environment out there in the broader regions?
George Sakellaris: We feel much better this year than we did let say 12 months or 24 months ago. The activity is considerably better than what it has been. And I would say it’s an up grand to the market in the municipal market and you see more college, more universities, more hospitals and coming into the picture that some of them they want to moving to us as before. And the other thing that's happened in all of them, they look for deeper and broader retrofit. I mean I would respond in a particular case in a particular college, I was working on yesterday and they’re looking for 100% in [indiscernible] I think in 2030 I forget, so which means that you will have to get a much deeper energy savings retrofit in order to achieve that goal and we have to combine it not with various renewable technologies as well as battery storage microgrids as known. So that's why we feel we are particularly encouraged than highlights, couple of the highlights in our talk that the projects are gain larger, a little bit more sophisticated and more complex and that plays into our strength.
Noah Kaye: Yes, and then just one more for me, just a follow-up on the City of Chicago win again, congratulations, there was good to see that council approved that a couple of weeks ago. You're describing a pretty sophisticated lighting controls capability. You mentioned that it can also serve as a platform for other smart city applications…?
George Sakellaris: Right.
Noah Kaye: As you look at the opportunity set, is that important part of the value proposition, the idea that this is basically kind of a network canopy for smart cities or other municipalities actively looking for that as part of the value proposition? And if so how do you think about your positioning?
George Sakellaris: I would say several large and small cities. They look at it for the smart technology and the smart applications. Some other ones, they look for straight in the luminary change out and that probably we are not a strong competitor in some local electrical contractor where we will be. So we target the opportunities where they need this market force and we will recommend them actually on this particular situation, one of the reasons they went – this direction is because they want those additional capabilities.
Noah Kaye: Right, right. Okay, thank you very much for the color.
George Sakellaris: And I will say, you will see it more and more especially in the larger cities and whether they can afford to invest the dollars that they will be going incorporate in the smart network as part of the overall solution.
Noah Kaye: Okay, thank you very much for the color.
George Sakellaris: Welcome.
Operator: Thank you. And our next question comes from the line of Craig Irwin from Roth Capital Partners. Your line is now open.
Craig Irwin: Good morning and thank you for taking my question.
George Sakellaris: Good morning.
Craig Irwin: So I should start by saying congratulations on the strong backlog progression and overall performance.
George Sakellaris: Thanks Craig.
John Granara: Thank you.
Craig Irwin: So the one thing that really caught my eye and impressed me in the last couple months as she came out in the last week, it's the renewal of the ESPC the base contract providing the IDIQ funding for federal and related activity other Department of Energy? Clearly in my opinion, it sounds like this must have been a priority for the Department of Energy to get it out so early in the Trump term. Can you comment about where you see this contract support out of DOE if you're seeing maybe a strengthening of the pension there? And maybe flagging anything in the contract on the other side, right, so you lived through a number of years ago where the Obama administration's nothing some language about re-competing contracts prior to final ward and then obviously that that impacted things in the short-term. Is there anything in the renewed contract that that concerns you and is there anything you feel that investors need to know to understand the momentum that this contract is going to bring you over the next number of quarter?
George Sakellaris: I think the support by Mr. Perry, we couldn't ask for anything more than what he says that all agencies and all facilities she had use this type of financing and I think there is lot of support both sides of – on Congress from both sides and actually they sent [Larry] of support to the new administration. And actually it will serve their need of having that $1 trillion of infrastructure, $100 billion they can get out of earliest energy saving or O&M contracts. So I see it more – and I said it before, but I've been wrong before I could be wrong again that maybe it will be an uptick, it's more positive rather than negative and the fact that the Obama even though they were 100% behind energy efficiency projects by having the funding directly some of the energy efficiency measures actually it's slowed down the process when the energy savings performance contract. In this case right now, they do not have any capital appropriations for energy efficiency project and the only way to do it will be through these performance contracts because we provide in the financing. In addition to that their facilities are aging a lot and the other thing if you look at the goals whether it’s the Army, whether it’s the Navy, they are looking for more resiliency and security of supply and that's where the renewables and the battery storage and the microgrid, which we are already have a couple of installations they become into play. And the contract I will say this much, the contract that we are working right now in the Federal Government. They all of them are larger than what we had seen let’s say two, three years ago because they are more encompassing technologies and the address security issues.
Craig Irwin: Excellent. So then you mentioned microgrids George, there's a lot of buzz with that microgird today both in the U.S. and internationally, [indiscernible] power some of the other potential applications there. Can you maybe describe your experience with microgrids and if you're seeing an acceleration of actual project activity not just that the flap and rhetoric we see in the press, but hard project means that – are these seen the momentum that's represented?
George Sakellaris: I mean for us we are $600 million, $700 million Company. The microgrids maybe [indiscernible] to $5 million, $10 million in two, three years, but it's a national grid tool achieving what do you want to isolate a particular base for example on the first ones we store was up at a partially Naval Shipyard. And they wanted to make sure that they can Island and which means you need the microgrid in order to control the isolate some lows or this lows in order to measure a system we have a – just about every new technologies you want to think about up there. Now we have another one in Philadelphia, which is right now that we implemented in which will probably be one of the largest in the country. And elsewhere all three of the other federal facility that we working right now, they have microgrid installation, but it's a tool – I see that is going to help us a lot, but it's not going to be I’d say the driver of the average side.
John Granara: Yes, I think Craig, the only thing I'd add there is that it makes sense for our projects because we're able to couple it with a lot of other energy conservation measures. So we’re able to make the economics work and so that's how we're able to differentiate ourselves by you implementing the microgrids into our projects and as George said. They are included and not only the some of the past projects we've done, but we're seeing microgrid becoming a larger portion of the projects moving forward as well. So you may not see large dollar amount for our microgrid projects specifically, but they are a component of our core business.
Craig Irwin: Great. Thank you for that. Last question if I may, Canada. So it looks like you're basically done with the restructuring up there, never going to say anything is ever absolutely going to always work in progress right, but can you update us on your momentum new award, how you expected this take shape given the refocusing around some of the more profitable jobs and some of the more specific scope that you're chasing?
George Sakellaris: Yes, I would answer the market and the RFP activity and how we're doing and then John can talk about the restructuring and so on, which I think we have done. But we see very good activity up there. I would say this much as well we're very encouraged and had a very good first quarter and all the metrics whether its award actually good in contract and pipeline, they were slightly ahead of what we have as internal plan. So we are cautiously – again continue to be cautiously optimistic about Canada. And with a new administration up there, there is much more positive environment for energy, efficiency and infrastructure projects. I think we did announce that we won one particular federal project up there and the activities now we have responded to couple more RFPs from the federal government. And the activity is good. John you want to…
John Granara: Yes. To say, we believe we have the restructuring charges behind us, as you pointed out, you can never say never. There are still some closing out of some contracts with some legacy customers which may require some additional funding, but we believe we have all of the appropriate reserves accounted for at this point in time. So knock on wood, we think we have it behind us.
Craig Irwin: Great. And then just a quick follow-up there John. I don't know if you have the number handy, but do you have the financial headwinds that Canadian operations contributed last year to share with us?
John Granara: I'm sorry that what the Canada property or the charges? The charges?
Craig Irwin: Yes. The charges and related losses on the projects for 2016.
John Granara: Okay. So most of the charges related to the SRO project were largely done in 2015 I believe. We had one charge in Q1 of 2015 and Q4 of 2015. The charges we had in the closing of the office in Quebec that I believe was also – we also put that in restructuring and other charges. And the total charges last year for those items were I think about $1 million and $1.5 million.
Craig Irwin: Great. Thanks again for taking my questions.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Carter Driscoll from FBR. Your line is now open.
Carter Driscoll: Good morning, gentlemen.
John Granara: Good morning.
Carter Driscoll: Just a follow-up on – dig a little deeper on the smart-city opportunities, so is there anything currently in backlog of similar size or reasonable size proximity to Chicago currently? And then just a couple of follow-ups on that. Are you saying – in your commentary you talked about maybe not being quite as competitive if the city was not valuing the smart control aspects of the deployment, is that mean you aren’t participating in bidding for some of those projects or just it would be more competitive or maybe a lower margin?
George Sakellaris: We are selective on the opportunities and if we think that we don't have a very good chance, we wouldn't, but if it's a large opportunity, if it is a streetlight and retrofit without the smart control, so I think we will go after it. But I said we will not be as competitive as where we offer the other expertise that’s comes along. Even in a most situation where it’s a streetlight and retrofit, the city or municipality may need the financing. And that's why I said many times we offer the financing along with the replacement of the streetlights and it’s in a budget neutral manner otherwise they get funded out of the savings, totally out of the savings. And actually that's how we sold the fresh projects out in State of Washington. So we'll target those opportunities, but we got to bring value to the table and that's what we do the best. The other thing I will say even though this is a large opportunity, I can say that right now they are not in the awards category, but we are working at least a couple of this Transportation Department is that they are larger magnitude than the Chicago.
Carter Driscoll: Okay. So nothing substantial in the backlog yet, but you're working toward…
George Sakellaris: No.
Carter Driscoll: John could you – I don’t know if you can break down the composition of the operating assets under construction between landfill biogas or solar or maybe a rough breakdown?
John Granara: Sure I can do that. About 65 megawatt solar or 23 the biogas and 6 megawatts what I would characterize is equivalents of other mostly battery storage, 4 megawatt storage project we have in Toronto. So of all of that we are expecting the biogas projects to come online towards the end of the year. So that would be about 23 megawatts and I would say we placed seven megawatts of solar in service in Q1. I would expect another 25 megawatts to 30 megawatts for the remaining of the year. So that kind of gives you an idea of what we expect to place in services here.
Carter Driscoll: That's very helpful thank you. Maybe George when they obviously very favorably for the IDIQ, is there an opportunity to change the scope or broaden the scope of the program, I know there's been a lot of attempts to move beyond what has traditionally been in terms of tilting retrofits or as you mentioned maybe as you move more towards a carbon neutral platform for some of these to expand like you said storage or maybe adding in microgrids, do you see that evolving there or this kind of a straight re-up of the program obviously of a large size and very favorable early administration?
George Sakellaris: I mean see the stock changing, we are fully integrated as a variable provision so, and storage I think a little bit tremendous potential on storage, the same thing that's happen into storage, that’s happen to the PV. For example we’re paying $5, $6 per watt, a few years back now they're down to $1 per watt for the battery storage and where there's microgrid, you will see us incorporating more and more all of these technologies because we want to be an early adopter of new technologies and they can make some usual and more and more facilities try to go to carbon neutral you will see an expansion. But I wouldn't say it's – other ways we don't go far from our expertise. We will stay within our expertise, the stuff that we know and do best. And then the other hand or – and what has amazed me about this market sector is via evolution technologies. If we were back in 1979, when I started and we said we will achieve 10% or 20% savings, people knew – they felt that you’re crazy. But now it is routine that you will have more than 20% savings. And so as of course come down, the new technologies overall and the communication in order for us to communicate with the business, it broadens the market opportunity and that's why you see, the market is growing rather than shrinking because people say well there's so many facilities you can do. But now there are so many facilities you can do so much more to them because we have new technologies.
Carter Driscoll: Excellent, thank you. And so last question on – in solar are there any surprising new opportunities or states that you are seeing better activity then maybe you did last year or slowdown relative to your expectations…?
George Sakellaris: Yes, the slowdown that we have seen in Massachusetts because of the new programs are not yet out, but they want things that I think John alluded to a little bit like for example we have 21 projects mechanical completed at the end of the year. We were contemplating that they will be up let's say the first of the second quarter and now most likely will be the third quarter because of utility interconnections delays, the utilities they are shown with work. But New York market is beginning to open up. So we see opportunities across the country and for example the central region, a couple of years back, I don't think they were addressed in any PV opportunities. Now they have several of the federal facilities that we are working. Before let's say maybe we're doing one in five that we will put solar. Now I would be surprised that we will do it more than half of them that they incorporate solar and some kind of battery storage and some kind maybe over the microgrid. So because we service this, so many different markets I think – and we're not right any particular state and that's why John said our backlog is well balanced and that's what we mean by that. Even though the slowdown in Massachusetts is not going to hurt as much as some other people as they have all their – has in this particular basket.
Carter Driscoll: Yes, perfect. Yes, perfect. Appreciate all color – to you guys, thank you. End of Q&A
Operator: Thank you. And I'm showing no further questions at this time. I would like to turn the call back over to George Sakellaris for closing remarks.
George Sakellaris: Thank you, Gwenda. To conclude, we believe there are few companies in our sector that can match our combination of profitability, growth and visibility. Customers know us and trust us, which drives repeat business. We have confidence in our outlook for this year, and for the years ahead. Thank you for your interest and support. I’ll now turn the call back to the operator. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone have a great day.